Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to the Central Pacific Financial Corp. First Quarter 2020 Conference Call. During today's presentation, all parties will be in a listen-only mode. following the presentation, the conference will be open for questions. This call is being recorded and will be available for replay shortly after its completion on the company's website at www.cpb.com.I would like to turn the call over to Mr. David Morimoto, Executive Vice President and Chief Financial Officer. Please go ahead.
David Morimoto: Thank you, Graham, and thank you all for joining us as we review the financial results of the first quarter of 2020 for Central Pacific Financial Corp. With me this morning are Paul Yonamine, Chairman and Chief Executive Officer; Catherine Ngo, President; Arnold Martines, Group Executive Vice President of Revenue and Anna Hu, Executive Vice President and Chief Credit Officer. We've prepared a slide presentation that we'll refer to in our remarks today. The presentation is available in the Investor Relations section of our website at cpb.bank.During the course of today's call, management may make forward-looking statements. While we believe these statements are based on reasonable assumptions, they involve risks that may cause actual results to differ materially from those projected. For a complete discussion of the risks related to our forward-looking statements, please refer to slide 2 of our presentation.And now I'll turn the call over to Paul.
Paul Yonamine: Thank you, David, and good morning, everyone. As always, we appreciate your interest in Central Pacific Financial Corporation. The COVID-19 pandemic is top of mind for all of us. Overall the state of Hawaii is doing a good job at managing and containing the pandemic. Hawaii was early to put in place stay-at-home orders and mandatory curfews and quarantine. Our residents in general are abiding by governmental orders as well as hygiene recommendations.Due to our geographic isolation, Hawaii was able to effectively lock down and protect the state from outside visitors with potential COVID-19 infection. We believe these measures will slow and contain the spread of the COVID-19 in the state and result in a faster.However, with a complete tourism shutdown in Hawaii, we are seeing a dramatic impact on the state's economy. We are hopeful that we will start to see visitors returning to the island in late summer or early fall of this year, particularly from Asia as they are closer to recovery from the pandemic.Central Pacific Financial was committed to supporting our employee, customer and community during this time of crisis. Our first focus is on our employees. Safety comes first and therefore we've temporarily closed 13 of our smaller branches to allow for adequate social distancing and our larger remaining branches.The staff from the temporarily closed branches have been redeployed to work at the remaining branches, assist other areas of the bank or make customer telephone calls. The majority of our support staff even at the executive level have started working remotely on a full-time or rotating basis.We believe the actions we have taken to date will allow us to meet the needs of our customers and community while ensuring the safety of all employees. We want to assure you that we are prepared to handle this crises. I personally led companies through prior crises including the 2011 Tōhoku earthquake, tsunami and radiation after effects while I was in Tokyo leading IBM Japan and as far as our outbreak in 2002 to 2004 while I was leading BearingPoint.Additionally many of our key team members that helped us through the 2008 to 2009 financial crisis remain with the company and are applying the valuable lessons learned. Despite COVID-19 our RISE2020 initiatives are continually. The revitalization of our building headquarters is proceeding as we continue to support the local construction industry. We're also pushing ahead with our digital initiatives including the development of our new online and mobile banking platforms and the replacement of our ATMs.Digital technology is even more critical to our business during crises like this and will remain a high priority strategy for our future.I'd like to turn the call over now to Catherine who will share more about our business continuity play.
Catherine Ngo: Thank you, Paul. Our business continuity plan includes a pandemic preventive plan which we successfully activated in early March and is summarized on slides three and four of our presentation. As a result, we have not had disruption in our business.As Paul noted, our remote workforce plan has been rolled out with the overall smooth transition. We already have Virtual Private Network VPN technology, capability over the last and we've expanded VPN access to over 70% of our employees.In addition to VPN we are well set up with the latest technologies that enable our operation to continue efficiently. Our teams are using collaboration tools including Microsoft teams and several other cloud based software programs. For our customers, we continue to offer our current online and mobile banking tools and we're making good progress on our new digital offerings as part of our RISE2020 initiative.Banking is deemed an essential service and I've been so proud of how our CPB employees have risen to deliver exceptional service in these challenging times. I would like to reiterate that our employee and customer safety is at the utmost priority. We're monitoring our employee's health and well-being very closely. We're providing personal protective equipment for our frontline staff and have implemented precautionary measures to ensure social distancing in our branches and all work areas.I'd like to turn the call over now to Arnold Martines, our Group Executive Vice President of Revenue who will share how we are assisting our customers during this pandemic. Arnold?
Arnold Martines: Thank you, Catherine. During the first quarter our teams remained focused on generating revenue even as the pandemic situation began to escalate. The bank grew total loans by $63 million or 1.4% sequential quarter. The loan growth primarily came from our residential and commercial mortgage loan categories. We were also able to grow core deposits by $45 million or 1.1% sequential quarter.Additionally, we were successful in reducing the average cost of total deposits by five basis points to 36 basis points. Going forward, we believe there are still opportunities for loan and deposit growth as our teams collaborate together to support our consumer and business customers through this unprecedented time.We have also moved quickly to put in place a number of COVID-19 relief programs for our consumer and business customers. The relief programs are summarized on slides 5 to 7 of the presentation. For our customers, we are offering an employment disruption loan as well as consumer and residential mortgage loan payment deferral programs. For our business customers, we are an SBA approved lender and are participating in the Paycheck Protection Program for PPP, which is part of the Federal Care's Act.We've seen tremendous demand for the Paycheck Protection Program and have made over 4,200 loans totaling nearly $490 million approved by the SBA. As a result of the PPP loan demand it was necessary to redeploy employees to handle and assist with the loan processing, including augmenting the loan process by engaging outside resources to assist.Our PPP team is focused right now to fund the loans that were approved by the SBA as well as to prioritize remaining applications that did not get processed in time under the initial funding and of course to submit the applications to SBA when the lender portal reopens. We are staying in close contact with our customers to increased outreach efforts. Our bankers are having calls with our key customers as frequently as daily. We are monitoring our customer's financial health during this challenging time and are providing guidance and the resources they need to help them weather the storm.Furthermore, we are prudently making loan modifications for certain commercial customers to allow for deferral of loan principal and/or interest for our short term period. As of April 16, we have made loan payment deferrals on approximately $300 million in total balances, which represent less than 7% of our total loan portfolio.I'd like to turn the call over now to Anna Hu, our Executive Vice President and Chief Credit Officer to provide further detail on our credit and portfolio risk management Anna.
Anna Hu: Thank you, Arnold. Central Pacific Financial has had a prudent credit risk management philosophy which we believe will help us weather through this pandemic. Following our recovery from the great recession, we implemented a disciplined approach to credit that included tighter underwriting standards with a focus on making quality loans and maintaining a diversified portfolio.Our loan portfolio today is well diversified by product and by industry. While certain industries we lend to will be impacted by the pandemic there are other industries and portfolios that we expect to have limited impact. The primary industries that will likely experience impact from the pandemic are summarized on slide 9 and includes accommodation and food service, detail trade, wholesale trade, manufacturing and healthcare.This comprises approximately $378 million or 8% of our total loan portfolio. A large portion of these balance are to well established businesses that have weathered through the last downturn. Secondary industries that may also experience impacts includes real estate management and other leasing, transportation, professional and administrative and other industries and services that total approximately $487 million or 11% of our total loan portfolio.These industries have thus far experienced little impact from COVID-19. Additional details on our primary and secondary industries can be found on slide 10. We also anticipate impacts on our consumer portfolio which is approximately $560 million or 13% of our total loan portfolio. We're actively granting 90 day payment deferrals to these borrowers. Additional details on our consumer portfolio are shown on slide 11.We anticipate limited impacts on our residential, home equity and investor commercial real estate loans. The weighted average loan to values in these portfolio are 60%, 58% and 53% respectively. These loans comprise of approximately $35.1 billion or 68% of our total loan portfolio. Additional details on these portfolio can be found on slides 12 and 13.In the final week of March, we aggressively reviewed our commercial loan portfolio and reached out to our customers to determine the initial impact if any of COVID-19 on their businesses. Through this process we identified borrowers that were likely to experience financial difficulty and proactively downgraded approximately $65 million in loans from past as mentioned.These loans are primarily accounted for as part of the outstanding loan balance of the primary industries previously mentioned. It is important to note that all of these loans were performing prior to COVID-19. As part of our assessment for the downgrade, we reviewed management and actions taken such as closing businesses and reducing expenses, monthly cash burn and access to cash liquidity and capital and the overall ability to weather through the pandemic in the near term.We further note that it is still early to reach any firm conclusions and that these loans that were downgraded did not include the expected positive impact from the Federal Subsidy Program. We are proactively working with our customers and many have already applied and has been approved for the Paycheck Protection Program.Furthermore, we have also provided assistance for short-term payment deferrals as necessary. Additional details and breakdown by industry can be found on Slide 14. Overall our asset quality continues to remain strong.I'll turn the call over to David, our Executive Vice President and Chief Financial Officer. David?
David Morimoto: Thank you, Anna. On the finance side, we've implemented several steps to effectively manage through the current environment. We will ensure our capital and liquidity positions remain strong. From our past experience we've developed robust capital and liquidity stress tests and comprehensive capital and liquidity contingency plans.We also decided to temporarily suspend our share repurchase program. We managed our expenses as well as protect our employee. We have implemented internal policies to temporarily suspend all business travel, large group meetings, meals and entertainment. We've also reevaluated or postponed certain consulting projects and finally hiring of new employee is on exception basis and we are evaluating our compensation plans.I'd like to now briefly cover the company's financial results for the first quarter of 2020, which is summarized on slide 15. Net income for the first quarter of 2020 was $8.3 million or $0.29 per diluted share. Return on average assets in the first quarter was 0.55% and return on average equity was 6.21%. Our earnings were impacted by a total provision for credit losses of $11.1 million recognized in the first quarter, which related to a new CECL methodology and the effects of the COVID-19 pandemic on the economic forecast.We also recorded a CECL day one impact of $3.6 million, which was an adjustment to our opening shareholders equity. Our pretax prevision earnings for the first quarter was $21 million. Net charge-offs in the first quarter totaled $1.2 million compared to net-charge offs of $2.3 million in the prior quarter. The charge-offs primarily came from the Hawaii consumer loan portfolio.At March 31 our allowance for credit losses was $59.6 million or 1.32% of outstanding loans. Net interest income for the first quarter was $47.8 million which was relatively flat on a sequential basis and the net interest margin remained stable at 3.43%. First quarter other operating income totaled $8.9 million compared to $9.8 million in the prior quarter. The decrease was primarily due to lower mortgage BOLI income driven by market volatility during the quarter.This was partially offset by additional fee income of $1.3 million related to an interest swap for a commercial real estate client. Other operating expense for the first quarter was $36.2 million which was flat to the prior quarter. Included in the total there was lower deferred compensation expense due to market volatility which was offset by higher provision on off balance sheet credit exposures under CECL.The efficiency ratio increased to 63.9% in the first quarter compared to 62.8% in the prior quarter. The increase was primarily due to the decrease in other operating income. The effective tax rate was 25.3% in the first quarter. Going forward we expect the effective tax rate to be in the 25% to 27% range.Now I'll return the call to Paul Yonamine.Paul YonamineThanks David. The global COVID-19 pandemic is an extremely challenging situation faced by all during this time. We want to assure you that Central Pacific is prepared and ready to handle this situation. We have a solid financial, credit, liquidity and capital provision to enable us to weather the storm. We remain committed to our employees, customers and the community and will continue to provide support to all of these areas.Earlier this month we run a highly successful community campaign sponsored by our CPB Foundation called, Keep Hawaii Cooking. Through this program our foundation subsidized the cost of 10,000 takeout meals to local families struggling during this time. The purchase of these meals also provided the much-needed support to our local restaurants. We're further looking at other potential initiatives to help our local economy, one of which is a campaign to continue communication and engagement with visitors, particularly from Japan to keep Hawaii top of mind and encourage their return the Hawaii once the pandemic ends and recovery occurs.To conclude, we're very focused on flattening the curve with the COVID-19 and we're pulling together as a company and community to beat this. On behalf of our management team, thank you for your continued support and confidence in our organization.At this time, we'll be happy to address any questions you may have. Thank you.
Operator: We'll now begin the question-and-answer session. [Operator instructions] Our first question comes from David Feaster with Raymond James. Please go ahead.
David Feaster: You guys have been a big part of the approved PPP loans in Hawaii. Are you just accepting applications from new -- are you accepting applications from new clients or just existing clients? Are you able to require deposit relationships with those loans and I guess with regard to timing I guess that a lot of those have already been approved, do you think most of those fund in 2Q '20, so most of the fee revenue should come in, in next quarter?
Paul Yonamine: Thank you, David and I'd like to respond to all of that positively but I don't want to take Arnold's thunder. He's been working night and day. So Arnold why don’t you respond to that?
Arnold Martines: Sure. Thanks Paul. Yeah so we -- I would say the supermajority of the applications we received were from our customers, but we do have noncustomers that did apply and our position has been that the program is for support of the business community and so as we obviously support our customers, we are also supporting the over-broader community.With regard to the fees, it is amortized over the term of the loan, but we estimate that we are in the $18 -- roughly $18 million range for fees at this point.
David Feaster: Okay. Terrific. And then David I appreciate the color on some of the expense saving opportunities, but how do you think about the RISE2020 initiatives. Just hearing your commentary, it sounds like things are progressing as planned, but are there any projects that were investment that you might like to place on whole or I guess broadly how do you think about expenses since you have much expense leverage?
Paul Yonamine: This is Paul. Let me start first by just once again explaining our RISE2020 initiative. It's largely two components. One is the technology play and the other is infrastructure. On the technology play, everything from our new online mobile platform, new ATMs definitely converting all of our employees to become VPN ready and also give them collaboration tools, that was extremely timely and nothing has stopped us. As a matter of fact, we've been trying to accelerate that.In terms of infrastructure, as of February, we already started the demolition of our first floor and so our plan is to continue down the path and complete the full renovation of our main building on the first floor and having said that, there are pieces and components for example, glass materials that we're planning to place into the ninth floor of our building and many ancillary things that we feel that we can postpone just to be prudent.But having said that, we do plan to push ahead on the first floor renovation which is the lion's share of our investment. Most of it is amortized over and 39 years and I think personally our target date of January 01, 2021 we're hoping that that's going to be a real great celebration that we're going to have COVID-19 contained hopefully the whole state, the city of Honolulu will be open for business and we've taken really positive view on it, but David why don’t you provide any other information on expenses?
David Morimoto: Sure. Thanks Paul. So David -- as Paul mentioned, we are continuing with the major components of the RISE2020 initiative and what we will guide to on total other operating expense is roughly we're sticking with the $36 million to $38 million range and obviously as we said in our prepared remarks, we're trying to manage that to the lower end of the range.
David Feaster: Okay. That's helpful and then I guess last one for me on the allowance for loan losses, we saw a pretty big jump obviously to 132 basis points, but given where we are today and assuming that this might stick around a little bit longer, how do you think about additional reserve builds and just kind of your overall thoughts on reserves and just any commentary you have would be helpful?
Arnold Martines: Okay. Thanks David. As all banks it's been a challenging quarter, implementing one of the largest bank accounting changes in the midst of a pandemic but the team did a nice job implementing CECL and we took a look at the situation as of March 31. We used a blend of economic forecast at a time that did include some of the forecast that came out in late March. We did incorporate some of the downside that people were seeing with COVID and we think we ended up with a appropriate allowance 132 of loans as of 3/31.Having said that, there have been subsequent forecast that have come out in the first three weeks of April that have shown potential further downside. So to the extent that there is further deterioration in the economic environment, there could be -- there would be additional reserve build and in the coming quarters and we would think it's probably the second and third quarter.
Paul Yonamine: David, this is Paul. Let me just add, clearly there is a lot of uncertainty on how COVID is all going to play out. As Arnold touched on our bank is also been extremely focused on a lot of the federal subsidy programs like the PPP. We as a bank have overachieved in terms in relation to our market share in the state of Hawaii and with some of the fees that we anticipate in Q2 and hopefully in Q3 with the additional $310 billion that Congress is considering to again put into the SBA that we can achieve a lot of fees that we feel will help us to counter additional provisions as well.
David Feaster: Okay. That's helpful. I guess kind of along the same lines, what are you hearing from your customers, like what's the pulse of it? It sound like you're actually expecting some potential loan growth but what are you hearing from your clients, what's the pulse and maybe at what point do they, like how much longer if this goes on at what point do you think they start feeling the pressure?
David Morimoto: David, you'll see in our addendum, we have a very diverse portfolio of loans and the majority of it I think we're in a really good place especially with the low loan to values in our real estate base clients. Clearly the companies that are very focused on tourism whether it be hotels, restaurants who have completely shut down operations, there is tremendous concern.The city and county, the mayor has just announced stay at home mandate extension to the end of May. So clearly that has a huge implications for those businesses. So a lot of concern there is not quite much light at the end of the tunnel yet Hawaii is doing a great job in comparison to most states in the United States. So there is some companies that are constantly optimistic and yet situation is quite tough.So what we've been doing is reaching out to all of those customers trying to really understand the business, seeing how the bank can help and we plan to continue doing that.
Operator: Our next question will come from Jackie Bohlen with KBW. Please go ahead.
Jackie Bohlen: Hi. Good morning, everyone. Just one more quick question on Hawaii before I change topics but I think it may have been your prepared remarks Paul, you mentioned that you're hopeful for visitors to return to late summer to early fall, is that something that come out of one of the local organizations as Hawaii Tourism Authority or is that just an internal hope?
David Morimoto: I'd like to say it's a little bit of everything Jackie. Nothing is very definitive yet. I mean our major markets whether it be Japan, the Mainland US, it has it's challenges today. So it's not just Hawaii. The whole ecosystem has to work and yet Hawaii today with infections of a little under 600, 400 recovered and our daily new infections I think generally the state and the city have been doing a pretty good job at containing it, but the concern is naturally on the markets that we bring in tourism to.But our view right now is wouldn’t it be wonderful if the State of Hawaii can position itself as one of the safer tourist destinations globally and in that situation I think people are willing to pay a premium to come to Hawaii and it really boils down to the tenacity of state government and that's something that even our bank and all the banks actually in Hawaii are working very closely with the state and city government and now providing ideas, new initiative, new hygiene protocol, providing idea from new technology to try and make the tourism experience a positive one and we're hopeful by the end of third quarter, early fourth quarter that we can start seeing a gradual rise in tourism.
Jackie Bohlen: And is it reasonable to assume that the people of Hawaii would be able to return to their new normal in advance of that because the state has done such a great job of really containing the virus and just giving your status as an island state, you more than any other state in the US really call it those places everywhere have been able to keep people from introducing the virus again. Is that a fair assumption?
David Morimoto: Again Jackie, the city's stay at home mandate has been -- was just extended yesterday the May 31 and I would looking at all of the activity in Mainland US right now, I think it is a fair assumption that a lot of businesses will be able to start moving towards normalcy from early June.
Jackie Bohlen: Okay. Thank you. That's wonderful color and very helpful and just looking in terms of growth and understanding that everybody is essentially at home through the majority of the second quarter at a minimum, how are your customers thinking about that? Is it all just coming from businesses that are looking for help through the PPP or the other programs that you have available to them or are there other ways for growth that I am not thinking of?
David Morimoto: You know Jackie, in a pandemic there still are winners. Grocery stores for example, companies that are providing health and safety type services and whatnot. So again those are reflected in our portfolio as well but there are clearly businesses that are also benefiting from what's happening today.But having said that, the vast majority of companies especially in the tourism sector and again, I want to emphasize that we have a very diverse portfolio and we have those companies that are still in construction working on the Honolulu rail project, a lot of defense contracting, those businesses are still business as usual. The ones that are facing the tourism industry on the other hand with the shutdown on business, the recent Care's Act subsidies are critical and this is why CPB has invested so much time and energy in making sure we bring those PPP dollars even to the small business.4200 applications with $490 million we averaged little over $100,000 per application and that was just critical during these kind of times Jackie.
Jackie Bohlen: Okay. Thank you. And just one last one for me and then I'll step back. Just wondering what the expectation is for mortgage banking in the near term and what are the swing between quarters was purely driven by the MSR market whether it was a function of volume to.
Anna Hu: I was actually going to add to Paul's comments to talk about those in more but that was a perfect segue. So the volume in Q1 was I would say is seasonably low and in prior years we've seen the dip, but I will share with you that in Q2 the pipe looks really good and we are projecting about $220 million in production.A lot of that goes to some things we talked about earlier in regard to the unique nature of our mortgage business. A lot of it is purchase and we have joint ventures with key developers and wolter [ph] agencies here and so that will continue to drive the growth in the mortgage business not just in Q2 but for the rest of the year.
Jackie Bohlen: Okay. Thank you. And then just and this might be a technical question for David just on the difference between MSR and if that was the primary driver of 1Q.
David Morimoto: Yes that's correct Jackie. The MSR amortization increased sequential quarter by about $800,000.
Operator: [Operator instructions] Our next question will come from Laurie Hunsicker with Compass Point. Please go ahead.
Laurie Hunsicker: Just wanted to start first of all on the income statement do you guys wondered boldly a loss of $19,000 for the quarter versus it's been running about $600 or so per quarter. How should we be thinking about that?
David Morimoto: Yeah Laurie, that was an impact of the equity market volatility. So we have a BOLI policy that's used as a indirect funding source/hedge for our employee deferred program. So the assets inside of the BOLI policy are equity mutual funds. That policy declined in value by roughly $600,000 and we had our normal BOLI policies with income of roughly $600,000. So they kind of offset each other and that's what resulted in roughly $0 income in the first quarter.Assuming we don't have another downturn in the equity market if things stay stable, we would expect Boly income to return to the $500,000 to $600,000 quarterly range going forth.
Laurie Hunsicker: Okay. That's helpful and then within your net interest income this quarter were there any non-accrual loan recoveries like you had last quarter?
David Morimoto: It was negligible this quarter.
Laurie Hunsicker: Okay. Based on margin. Okay. Good. And then just shifting over the credit I guess was the norm, thank you for the detail, on slide 9, say your primary industries that you outlined as potentially being more at risk from COVID-19 it looks like obviously the majority of that C&I, can you toss of the $378 million, is there any real estate securities to that and if you know percentage or dollar on that $378 million?
Anna Hu: I am sorry this is Anna. I won't say between the primary and secondary industries $325 million, a billion of it is paid securities.
Laurie Hunsicker: Okay. Between those $325 million. Okay. That's helpful and then this is kind of more macro I guess both I guess both Anna and David for you. In terms of construction lending how can you just give us a refresh update? Just whatever your 2%, your $101 million just sort of a outlook.
David Morimoto: Sorry, you're breaking up. Can you restart please your question?
Laurie Hunsicker: Sure. Can you hear me now? Just very high level, if you can just help us think about your construction books as that's what really hurt you during the last downturn and you look so different now right? So you had 28% of your loan book in construction lending back at the end of '07 and today that's 2% but can you just help us think about what are the differences in your construction book today versus back then outside of the obvious which is sized? Thanks
Anna Hu: Hi Laurie. Our construction book today is very different. Back 10 years ago we were doing a lot of land development, residential and construction development. What we have today is very focused on supporting the middle market to the affordable condo builds that we have here in Hawaii, Oahu, primarily. So that's where the difference is in the portfolio. We're not in what we were 10 years ago.
Laurie Hunsicker: Okay. And then your -- the $ million is that all Hawaii based?
Anna Hu: Yes. All Hawaii based.
Laurie Hunsicker: Okay. And versus the last go around, it was mainly in the Mainland, is that correct?
Anna Hu: A lot of it was on the Mainland, correct.
Laurie Hunsicker: And then if you have it, do you happen to remember what LTDs were back then versus today?
David Morimoto: Laurie, they probably started for on 60%, 65% but they ended up upside on obviously once we had a fair share, but I guess much different exposure as you said it was almost 30% of the portfolio. It was over a $1 billion in construction at that time and today it was I think it peaked at $1.1 billion and today it's $100,000, but much different risk profile in the loan portfolio.
Laurie Hunsicker: Right, coupled with the fact that your loans were a lot smaller. Okay. Perfect. I'll leave it there. Thank you so much.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Paul Yonamine, Chairman and CEO for any closing remarks.
Paul Yonamine: Okay. Thank you very much for participating in our earnings call for the first quarter of 2020. We look forward to future opportunities to update you on our progress. Thank you.The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.